Operator: Greetings, and welcome to the BrainsWay Fourth Quarter and Full Year 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Chase Oswald of LifeSci Advisors. Thank you, Chase. You may begin.
Chase Oswald: Thank you all. And welcome to BrainsWay’s fourth quarter and full year 2020 earnings conference call. With us today, our BrainsWay’s President and Chief Executive Officer, Christopher von Jako; and Senior Vice President and General Manager of North America and Interim Chief Financial Officer, Hadar Levy. The format for today’s call will be a discussion of fourth quarter trends and business updates from Chris, followed by detailed discussion of financials from Hadar. Then, we will open up the call for your questions. Yesterday, BrainsWay released financial results for the fourth quarter and full year ended December 31, 2020. A copy of the press release is available on the company’s Investor Relations website. Before I turn the call over to Chris and Hadar, I would like to remind you that this conference call, including both management’s prepared remarks and the question-and-answer session, may contain projections or other forward-looking statements regarding future events or the future performance of BrainsWay, including but not limited to any statements relating to commercial plans or activities, financial projections, clinical studies, R&D plans and/or anticipated timelines. These statements are only predictions and BrainsWay cannot guarantee that they will in fact occur. BrainsWay does not assume any obligation to update that information. Investors are cautioned that all forward-looking statements involve risks and uncertainties, such as reliance on third parties and shifting market conditions, particularly due to the COVID-19 pandemic, which may cause actual results to differ from those anticipated by BrainsWay at this time. Additional risks concerning factors that could cause actual events results or achievements to materially differ from those contained in the forward-looking statements can be found in the company’s registration statement on Form 20-F and its other filings with the Securities and Exchange Commission. I would like to now turn the call over to Chris.
Christopher von Jako: Thank you, Chase. Welcome everyone and thank you for joining us today. I’d like to begin by thanking the investors who participated in our recent successfully completed follow-on offering that generated approximately $45 million in gross proceeds for BrainsWay. We were grateful to have the support of many high quality healthcare focused institutional investors in this transaction, which we truly believe provides an important validation of BrainsWay’s innovative technology and growing business. We were successful and attracting these top tier investors because of both the strong performance of our existing business, as well as our future prospect for significant growth. To this end, we achieved record quarterly revenues in the fourth quarter of 2020 of $7.1 million, representing a strong 17% increase over our third quarter and 12% increase over the same period of last year, which of course, was prior to the onset of COVID-19. We are thrilled that our business is now getting back to what we believe will be a significant growth trajectory as it was prior to COVID-19. When, as you may recall, we generate a robust growth of 41% in the full year 2019 over 2018. I would like to highlight that we generate these excellent top tier results, while also achieving positive cash flow from operations in the fourth quarter. While we are pleased with our performance of the fourth quarter and are confident that we continue to operate on the cash flow positive basis going forward. We believe it’s critical to continue investing in our business in order to drive further market penetration and accelerate growth. Therefore, we intend to utilize the proceeds from the financing primarily to expand our sales force and to invest in various commercialization and marketing initiatives. I will review our specific objectives in the critical areas of sales and marketing shortly. First, though, I’d like to provide a brief update on the current operating environment. In the fourth quarter, a significant majority of clinics operated at or near normal levels with some even experiencing patient treatment volumes above pre-COVID levels. Importantly, business conditions have remained stable as these levels during the early months of 2021, though, not all clinics are operating at pre-COVID levels yet. Of course, we will continue to monitor the impact of the pandemic on our operations in 2021. With that said, based on the current operating environment, the ongoing vaccine rollout and our general outlook for the year, we anticipate a steady progression of our business in the second half of 2021. While the pandemic continues to evolve and unfortunately persist depression and OCD trends are likely to continue to increase as well. Accordingly – according to a recent journal article one in three adults has been affected by the pandemic related to pressure anxiety. This was a comprehensive study in which researchers performed a meta analysis of 68 studies conducted during the pandemic and included 288,000 participants from 19 countries. Moreover, in a recent JAMA open survey of over 6,500 patients before and after the pandemic, patients with depression symptoms more than tripled from 8.5% with depression symptoms before COVID-19 compared to 27.8% having depression symptoms during the pandemic. In OCD, an article published last September and the Journal of Psychiatric Research examined the difference than the gold standard OCD scoring scale among adult patients with a mean age of 43. The results of the study showed substantial worsening among OCD patients. With statistically significant changes in severity of total OCD symptoms, obsessions and compulsions when comparing the pre-quarantine period versus during quarantine. Staying with OCD, our second major indication, we remain focused on securing reimbursement in this high value area. After the publication of the Clinical TMS Society coverage guidance for OCD in late January 2021, we have made considerable progress with our OCD payer communications. Since that time, our market access and medical affairs leadership team has made presentations to a number of the largest healthcare plans in the country, including their behavioral health medical directors, as well as the majority of the Medicare Administrative Contractors or MACs. In addition, we’ve sent a significant number of OCD coverage requests letters, continually important clinical publications to commercial and Medicare payers, including many of the nation’s largest private plans. Our clinical evidence includes post-marketing clinical data on 219 OCD patients at 22 Deep TMS sites, which was published in the peer review Journal of Psychiatric Research. As a reminder, this study showed that 73% of patients reach initial response at an early stage of Deep TMS treatment, which was administered as an adjunct form of therapy. The data also revealed that the therapeutic effect can be maintained for weeks after the treatment. We hope to begin securing OCD reimbursement coverage over coming months. So I should add that already about one-third of our total installed base have opted offer our OCD treatment, generally for an add on helmet to their existing system. This is a clear cut reflection that even without reimbursement our customers strongly believe in the benefit of Deep TMS for OCD. Regarding the [Audio Dip] with a robust U.S. reimbursement in place, our technology allows for easily understood and more importantly, an excellent return on investment for our customers, which includes physician offices, clinics, networks, TMS providers and hospitals. Importantly, 2020 saw several large payers relax the requirements for Deep TMS reimbursement. This is significant trends as it increases the already sizable total addressable market for depression. At the end of 2020, Deep TMS for depression was covered by over 60 commercial insurers and all seven MACs providing nationwide Medicare coverage. These payers collectively represent more than 275 million covered lives. Also, our customers continued to enjoy steady reimbursement for Deep TMS treatments of depression, which we view as a positive indicator for our business. Beyond seeking to secure reimbursement OCD and continued favorable reimbursement trends and depression and important catalyst for us as I noted earlier, the rationale for our recent successful capital raise is the desire to expand our sales and marketing efforts. Last month, we appointed Fran Hackett as Vice President of North American Sales. He brings more than 30 years of healthcare focused sales experience, business development and executive leadership to BrainsWay. Over the course of 2021, Mr. Hackett will lead our plan to increase the number of U.S. sales territories we cover from 13 to 18, a plant increase of nearly 40%. This sales force expansion will be especially critical as we execute on our controlled market lease of Deep TMS for smoking addiction, which began recently. We intend to introduce this new commercial offering, the first of its kind up to 12 customers initially. Several of these sites are already offering Deep TMS for smoking addiction patients. And I’m pleased to report today that the first patients have now been treated. You will recall that smoking addiction represents our third FDA cleared indication for Deep TMS, making us the most versatile TMS platform by far. As a reminder, we received FDA clearance based on the data from our double-blind multicenter trial with 262 smokers. These smokers were highly addicted to cigarettes with a long history of smoking and with 70% of them having failed three or more attempts to quit. Of their participants who completed a full course of Deep TMS treatment, 28% achieved four consecutive weeks of abstinence from smoking. These data have us very excited about the large market opportunity among the 34 million adult smokers in the U.S. and the potential impact that DTMS for smoking addiction can have on our business and revenues over time. As the control market, at least in smoking addiction continues, we also remain focused on increasing market penetration for Deep TMS in depression and OCD. And we intend to expand our digital marketing strategy and other critical initiatives that will be supported by our recent financing. Specifically, we plan to execute campaigns aimed at panting website content, search engine optimization, increasing social media advertising and enhancing the utilization of social media influencer networks. An excellent example of this is our digital efforts around OCD awareness week, which took place in October and was highlighted on our last call. I would also like to note the impressive gains we’ve seen from the data we’re tracking on our website user volume and patient education initiatives. For example, our new website, which serves as both a patient and provider resource saw a massive 70% increase in organic users from 2019 to 2020. Turning to investor relations, I want to emphasize that we continue to remain dedicated sharing BrainsWay’s compelling growth story with both institutional and retail investors. We met with a number of high quality healthcare focused U.S.-based institutional investors around our recent equity offering and enjoy a very positive reception to the offering. Moreover, we hosted a well attended key opinion leader virtual investor event last November. This informative event featured Dr. Owen Muir of Brooklyn Minds who discussed the current treatment landscape and the unmet medical needs in treating patients with depression and OCD. In addition, we’ll be presenting at a number of healthcare investment conferences throughout 2021. And we plan to host additional KOL event for investors and analysts this year. To put our competitive position in the TMS marketplace into perspective, our Deep TMS system has been subject of no less than 32 completed randomized control clinical trials, which is more than any other company in our field. Furthermore, BrainsWay’s Deep TMS has been utilized to treat over 95,000 patients for depression and OCD. And this translates into over 2.5 million individual treatment sessions. As far as our positive safety profile, as you may know, our device is not associated with any systematic side effects – systemic side effects. However, BrainsWay has been diligently collecting comprehensive safety data to provide us with a better understanding of the risks of the treatment and recently published analysis in the journal of Brain Stimulation. Importantly, we now have the most comprehensive published clinical safety data by far of any TMS company. And believe this suggests a safety profile that is second to none in the TMS industry. Finally, as always, I want to express my gratitude to our hardworking customers on the frontline of this mental health crisis and to the entire BrainsWay team for their continued support and dedication in boldly enhancing neuroscience to improve health and transform lives. These extraordinary efforts by our customers and employees produced a significant achievement in 2020. Positioning us well to complete our recent equity financing and has us poised to leverage the many key catalysts ahead of us. Thank you again for joining us today. With that, I will now pass the call to Hadar for his review of our fourth quarter and full year 2020 financials. Hadar?
Hadar Levy: Thank you, Chris. We’re excited by the momentum in our business and believe we’re well positioned for potential continuous growth in the foreseeable future. We generated fourth quarter revenue of $7.1 million, a 17% increase sequentially from the third quarter of 2020, and a 12% increase from the fourth quarter of 2019. This revenue growth was driven by the increase in our direct channels. Our reoccurring revenue was primarily derived from this $3.4 million consistent with the fourth quarter of 2019. Revenue for full year 2020 was $22.1 million, down 5% when compared to total revenue for 2019, primarily due to the impact of the pandemic on our customers and a lower level of in-person patient visits. As of December 31, 2020, BrainsWay install base totaled 629 Deep TMS system, which reflect quarter-over-quarter increase of 36 systems. Over 2020, even taking into account the impact of COVID-19 for the fourth quarter of 2020, BrainsWay’s install base has increased by 99 system compared to year end 2019 or a solid 19%. Gross profit for the fourth quarter of 2020 was $5.5 million compared to $4.9 million during the prior year period. Gross margin for the quarter was 78% as compared to 77% in the fourth quarter of 2019. Gross margin for full year 2020 was over 77% compared to 78% in 2019. Research and development expenses for the fourth quarter were $1.6 million as compared to $1.8 million in the fourth quarter of 2019, and primarily consisted of cost associated with the continued development of our pattern Deep TMS technology. Research and development expenses for full year 2020 was $5.8 million as compared to [indiscernible] in 2019. SG&A expenses for the fourth quarter was $4.3 million compared to $5 million for the fourth quarter of 2019. The decrease is in line with the company’s effort to enhance the efficiency as well as to lower operational expenses giving the financial impact of the pandemic. SG&A expenses were $16 million for full year 2020 as compared to $18.6 million in 2019, a reduction of 15%. Total operating expenses for fourth quarter were $5.9 million compared to $6.8 million in the same period last year. Operating expenses for 2020 totaled $21.8 million as compared to $26.5 million in the 2019. Operating loss for the fourth quarter was $407,000 compared with a loss of $2 million for the same period in 2019. Operating loss for 2020 totaled $4.8 million as compared to $8.5 million in 2019. For the fourth quarter ended December 31, 2020 we incurred a net loss of $267,000 compared to a net loss of $1.7 million in the fourth quarter of 2019, a year-over-year improvement of $1.5 million. Net loss for full year 2020 was $5.4 million as compared to a loss of $10.3 million in 2019, a year-over-year improvement of $4.9 million. As for the balance sheet, we ended the year with cash, cash equivalents and short-term deposits of $17.2 million compared to $21.9 million as of December 31, 2019. Cash used during 2020 of $4.7 million was in line with our expectations. Of course, this figure does not include $41.9 million in net proceeds grades for our follow on offering closed in March, 2021. We believe that our strong balance sheet allows us to expand our sales and marketing efforts to drive additional adoption of the Deep TMS systems and to continue to invest in research and development in order to explore new potential indication for innovative technology. This concludes our prepared remarks. I will now ask the operator to please open up the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Jayson Bedford with Raymond James. Please proceed with your questions.
Jayson Bedford: Good morning and hope everyone’s well. So I guess, Chris, just to jump off your comment around steady progression of the business in the second half. Can you just comment on first half trends?
Christopher von Jako: Yes. Good morning, Jayson. Thanks. Well, I think our first half – well, we’re now through the first quarter obviously, and we’ve seen similar to things that we saw in the fourth quarter, as far as patients coming in and getting treated. We anticipate that our business will continue to progress as COVID and we feel the second half will be better than the first half of the year. That’s our current thinking.
Jayson Bedford: Okay. But I guess current business conditions would you characterize them as similar to fourth quarter business conditions?
Christopher von Jako: I think from a – you saw probably in the fourth quarter that we had a higher direct sales than we do from a leasing perspective as a percentage. That typically, we have some seasonality in the business, typically fourth quarter and the second quarter, we see a higher direct volume, but again, our business is typically is around that 60%, 40% when you’re looking at least compared to direct. So we’re very pleased at how we finished the fourth quarter with some of those direct sales. But as far as the business, I think we see the similar trends as we saw in the fourth quarter. Obviously we’re cautiously optimistic as we continue to exit the pandemic.
Jayson Bedford: Okay. And just on fourth quarter of the 36 boxes, let’s call them sold in the quarter, how many went to existing users and what was the rough breakout between direct and recurrent?
Hadar Levy: So I would say that roughly around 40% went to existing customers and the other 60% went to new customers.
Jayson Bedford: Okay. In terms of just kind of the 36, how many went to the direct bucket versus the lease bucket roughly?
Hadar Levy: So it was roughly around 50%, 60% between direct and lease.
Jayson Bedford: Okay. And then just maybe jumping over to OCD reimbursement. I think you said, you hope prepare coverage in the next several months. Just kind of what – is there been any indication there? Just trying to gauge your confidence level there?
Christopher von Jako: Yes. Jayson, thanks for the question. So I think that my confidence level has improved. We’ve been having some really good meetings with a lot of the payers over the last couple of months and they’ve been very receptive not only to these particular OCD patients who is, you may remember it’s a much more complex disorder than depression and they only have a limited amount of alternatives with only five medications. I’m not giving any guidance, I’m feeling a lot better than a year ago about where we’re heading with reimbursement. And particularly because we’re leveraging this new study that got published last year and the payers have been very receptive to meet with us. And I think that in general, I wouldn’t be surprised that later this year that we started getting some payers to actually cover us.
Jayson Bedford: Okay. Last question and I’ll jump back in queue. Any commentary on OpEx levels here in 2021 versus 2020?
Hadar Levy: We do anticipate the OpEx to go high specifically on the sales and marketing line. That should be our main focus for this year. But I wouldn’t except to see some dramatic growth, but it will grow as compared to 2020.
Christopher von Jako: Jayson?
Jayson Bedford: Is there any way to just quantify the spend in OpEx in 2021?
Hadar Levy: We’re not providing any guidance. But I think that we’re going to go back to the similar OpEx that we had prior to COVID with roughly burn rate of up to $2 million per quarter.
Jayson Bedford: Okay. Thanks.
Operator: Thank you. Our next question comes from the line of Kyle Mixon with Cantor Fitzgerald. Please proceed with your questions.
Kyle Mixon: Hi guys. Thanks for taking the questions. Congrats on a nice year and always saw a Phase 2. I want to start with OCD reimbursement also. I was wondering if you could just tell me what’s the typical demographic is of these OCD patients, like I’m thinking like age, sex, et cetera. And as you think about the max and the private payers coming on with reimbursement in the near-term, next one with hopefully, which of these groups could come first, because obviously Medicare, private, commercial payers, different reimbursement rates. So just curious if you can provide some comments there?
Christopher von Jako: Yes. Thanks, Kyle. I appreciate your comments about the year. So with OCD in particular, I mean, you can look at the onset is typically in the early teams. And most of the time these patients actually don’t seek treatment until they get into their 30’s and 40’s, which is obviously not a great thing. From a payer perspective, we’ve actually met with some of the largest payers already and we’ve met with actually all of the Medicare max with OCD, depending on how severe the OCD is. These patients actually could be disabled and they could be covered under Medicare even if they’re under the age of 65. So I think for us, we’re right now or out there presenting to is many of the payers that we can set up meetings with and we’re sending tremendous amounts of coverage request letters out. And I’ve been on a lot of these calls myself with our Head of Market Access, as well as our Chief Medical Officer. So the comments that we’re getting back, they were very receptive and I’m quite hopeful as we continue for the year that we’ll start achieving reimbursement from some of these payers.
Kyle Mixon: All right, thanks. That’s helpful. And obviously the sales force expansion is positive, it was in the past, to hear the in ascend will increase in that area and that bucket in 2021 is great. So I guess Hadar, can you just talk about the progression throughout the year in terms of the hiring and obviously – or I guess smoking cessation is going to kind of be the rollout a little bit, muted early on and then maybe pick up in the second half. And so I’m thinking that it could be little bit stronger hiring in the second half of the year. Can you just confirm that and maybe talk about how you kind of get to that 18 territory level in this year? Thanks.
Hadar Levy: Yes. So our plan is to complete all the recruitment on the missing territories by the end of Q3. So our main goal, if we can do it even earlier, the better, but it might take for the next two quarters just to hire the missing position that we are looking to hire in the next six months or so.
Christopher von Jako: So you have a specific question about smoking on the rollout with that as well.
Kyle Mixon: I mean, as part of that trajectory, if cadence going to be driven by smoking? It kind of sounded like it based on your prepared remarks.
Christopher von Jako: Yes. No, I mean, obviously the drive right now is for obviously expansion of the current depression and OCD products.
Kyle Mixon: Okay. Yes, no, of course. Thank you. And I’m just looking at the model. The lease side declined dramatically in 2020. I’m sure that was due to some of the pricing arrangements that we talked about in the past. But is the expectation in 2021 going to beat that ASP, Chris back up to where it was pre-COVID, or could we see this lower level stick around for the next year or so?
Hadar Levy: I believe we’re going to keep the ASPs similar to the rates that we have seen in 2020. And we asked some good reason to believe that we we’re going to keep it that way. We see a very good momentum and good demand specifically with our OCD platforms. So I believe that we will be able to keep the margin and the ASPs similar to direct that we’ve seen in the past.
Kyle Mixon: Perfect. Thanks, Hadar. Just a last question for me. Just looking at the record revenues in the quarter, was there any, like pent up demand from the second or third quarters that converted to sales this quarter? And I guess, thinking about that, like what was demand looking like exiting 2020, and then early 2021 recently. And then also if you could comment on the pipeline maybe at the end of the year or currently, I mean, that’d be really helpful too.
Christopher von Jako: So I think as I mentioned earlier, obviously, Q4, we have some seasonality in the business. Q4 and Q2, we tend to drive additional direct revenue as opposed to lease revenue there. It has a dramatic effect on the business and that’s for a number of different reasons with that seasonality. I think we had a really great demand and that demand sometimes slips down a little bit into the first quarter as we entered the first quarter. We’re trying to tie up a lot of things at the end of the year. But we feel very strong about and bullish about where we’re heading right now.
Kyle Mixon: Okay. And Chris, just the pipeline, how does that help the pipeline at this point?
Christopher von Jako: The pipeline is extremely healthy and continues to grow. I think that, obviously, as we continue to exit the pandemic, things are coming back to normal. We see obviously very strongly with our current businesses that are increasing their success and are looking to add either systems at their current locations or other locations. But our salespeople are – every day, they’re getting more and more face to face meetings, which is very strong for us.
Kyle Mixon: All right. Perfect. I appreciate that, Chris. Thanks guys for the questions, again.
Christopher von Jako: Thanks.
Operator: Thank you. Our next question is comes from the line of Jeffrey Cohen with Ladenburg Thalmann. Please proceed with your questions.
Jeffrey Cohen: Hi, Chris and Hadar, how are you?
Christopher von Jako: Great. How are you doing?
Jeffrey Cohen: Just fine. So few questions, you’ve talked about the 12 sites with the smoking coils. Can you walk us through the logistics there being that is the third helmet offering? How is it being a fixed to the actual unit?
Christopher von Jako: That’s a great question. So we actually developed a independent stand for the customers that may already have two helmets already with their current system. And in fact, the first several systems that we deployed this quarter needed that third stand, because those customers already had both depression coil as well as a – or helmet as well as a OCD. A great question.
Jeffrey Cohen: Okay. So one would be detached for the smoking coil to be attached.
Christopher von Jako: No. So there is actually a separate stand that holds an additional coil or additional helmet in essence, that can be – it’s mobile can be rolled around.
Jeffrey Cohen: Okay. Interesting. Okay. I got it. And Hadar, any read into lease versus purchase trends. I know there was a previous question about that from fourth quarter or generally speaking, any commentary on lease versus purchase going forward.
Hadar Levy: We are in the process of lease to direct purchase versus the in a year is about 60-40. I believe that’s a very healthy for our growth and I believe it’s going to remain the same. I don’t see any specific changes, obviously, there is another piece around it, but I believe it might even increase a little bit higher that the lease as compared to the direct purchase, but usually comes from the – on the fourth quarter. But I believe that, most of our customers still prefer just to list the machine rather than to just bite outright.
Jeffrey Cohen: Okay. Got it. And then spark cash and shares, it sounded like $17.2 million plus $41.9 million to $59.1 million in Q1 approximately sort of good estimate.
Christopher von Jako: Yes. Before the burn.
Jeffrey Cohen: Yes.
Christopher von Jako: We haven’t looked at the number, right. It’s in that ballpark.
Hadar Levy: It’s in the ballpark, yes.
Jeffrey Cohen: Okay. And then commentary on shares. Please for end of year as well as currently, can you give us a estimate there?
Christopher von Jako: I mean, we – Jeff, I don’t think we know the number of hand, to be honest with you. I can get back to you on that.
Jeffrey Cohen: Okay. Got it. And then, I guess, lastly for me, Chris, could you comment a little bit on what you’re seeing generally speaking from the macro environment on drugs versus energy delivery and treatment paradigms and energy getting earlier in the space? I know that, historically you’ve made commentary about two failures on drugs prior to TMS.
Christopher von Jako: Yes, really good question. So as I mentioned, I think in the prepared remarks, last year, we saw a number of the large payers relaxing their reimbursement and where a majority of the payers still today continued to be at about four medication failures. But we saw that relaxing down to from four down to two with some of those payers. And even some – I think at least one Medicare MAC has one failure another Medicare MAC has two failures. We hope to see that trend continue. I think that the alternative for our technology, we’re showing really great results with these patients that have – they’re the most difficult patients, right. Because they’re treatment resistive and if we can get them early in their paradigm, it’s only getting better for them. Because after they failed that first medication, it becomes even more likely that they’ll fail a second and a third medication. So I think the trends are hopefully leaning towards bringing the TMS paradigm earlier in the treatments.
Jeffrey Cohen: Okay. Got it. And then lastly, for me on seasonality of the year, I know you talked about back half being strong relative to front half, Q4 and Q2 are generally speaking being stronger versus Q1 to Q3. And you read into the reimbursement out-of-pocket you expect this year that that will have a greater or lesser severity on the on the first quarter?
Christopher von Jako: I think generally with our business, like I said, we do have the seasonality, because we have a lot more direct purchases, like I said, in Q4 and in Q2. So typically, we’ll see that as go into Q1. The direct purchaser will be a little bit less. I don’t think it has much of an effect on deductibles or copays and things like that for the patients in particular on what the drive will be. Again, our customers would be opening up a completely new offering within their office, right. If they’re offering Deep TMS or for example, if an existing customer is expanding, just because their business continues to expand. And I think that with the pandemic starting roughly about a year ago, Hadar and I work together on this fall about a year ago during that period, we’re going to start seeing an increase in bolus of patients probably in the second half of the year. Specifically, because it takes at least one year, if everything goes well to get up and down for medication failures. So our customers – our current customers understand this and they already know how to run the TMS business. So they’ve been very bullish about the business itself.
Jeffrey Cohen: Okay. Got it. Thanks for answering the questions. I appreciate it, Chris and Hadar. Have a good day.
Christopher von Jako: Yes, you too, Jeff. Thanks.
Operator: Thank you. Our next question is comes from the line of Steven Lichtman with Oppenheimer. Please proceed with your question.
Steven Lichtman: Thank you. Good morning guys. Just building on the NDD wins – reimbursement wins last year, wondering how that’s impacted conditions on the ground so far. Are you seeing increased interest from psychiatrists’ offices given the potential to use Deep TMS earlier in the treatment paradigm?
Christopher von Jako: Yes. So I think that’s – it’s definitely a great driver for us and it’s a great message when we’re speaking to psychiatrists that are in those regions or that take that specific insurance carrier. I know having spoken to a number of our customers over the last six months that it is really great for them. I mean, if you may remember most patients that have an onset of depression, we’ll get that primarily anti-depressant medication coming from their general practitioner or maybe say an OB-GYN, if you’re related to postpartum. And now what you’re doing is you’re getting those patients going to a psychiatrist after at least one failure, if not two. So if they’re now in the psychiatrists office was already two failures and they have the ability to now use TMS, as opposed to try another medication. It’s been really beneficial to this particular physician. So that message I think, is definitely resonated with our customers and our sales force is obviously using that message with new potential customers as well.
Steven Lichtman: Got it. On smoking cessation, should we expect a similar playbook in terms of data collection to support reimbursement? Are there plans for a post-marketing study here in 2021?
Christopher von Jako: Yes. So that’s what we’re – that’s one of the aims of our controlled market release right now. Obviously, the goal is to get these 12 centers up and running and treating patients and understanding the market and working together with them on particularly on the cash pay and trying to see what resonates and see how we can repeat this business at multiple places. And that’s really the goal. But the other part of the goal that we’re looking at for the controlled market release is to ensure that we’re collecting the data correctly. So equally important on both those things. So and we – as part of this, obviously we’ve already began collecting post-marketing data.
Steven Lichtman: Got it. And then lastly, Chris, if you start thinking longer term in potential new indications, any update you can provide on the next areas, you think maybe target for add on indications.
Christopher von Jako: Yes, sure. So unfortunately, the pandemic had slowed down some of the work that we were doing around a future indication. We have a number of clinical trials that are going on now. Most of them are pilot trials that are going on now. And we were looking last year to launch a couple of new studies for new indications and we plan to do that later this year. I’m not giving any public guidance on what those indications would be, but we have those listed, obviously in our deck that shows that likely be an addiction, likely be one of the neurological indications, probably MS fatigue, hopefully starting one, if not a multiple of those later this year.
Steven Lichtman: Okay, great. Thanks, Chris. Thanks, Hadar.
Christopher von Jako: Thanks, Steven.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to management for any closing comments.
Christopher von Jako: Thank you so much. In conclusion, I would like to thank all of the investors and our participants for their interest in BrainsWay and look forward to keeping you up-to-date on our progress throughout the year. With that, please enjoy the rest of your day.
Operator: Thank you for your participation. This does conclude today’s teleconference. You may disconnect your lines at this time. Have a great day.